Rami Rozen: Thank you very much and thank you all for joining us on our Second Quarter 2015 Conference Call. My name is Rami Rozen, and joining me today are Allot’s President and CEO, Andrei Elefant, as well as our Chief Financial Officer, Shmuel Arvatz. The press release announcing our second quarter results is available on the Investor Relations section of our Web site at www.allot.com. All results and expectations we review on the call are on a non-GAAP basis, unless otherwise described as GAAP. Non-GAAP net income and non-GAAP net income per share excludes stock-based compensation expense, revenue adjustments due to acquisitions, expenses related to M&A activity, amortization of certain intangibles and inventory write-offs. Please note that all earnings per share amounts are on a fully diluted basis. A reconciliation of each non-GAAP measure to its nearest GAAP equivalent is available in the press release containing our second quarter results. Before we begin, let me remind you that certain statements made on the call today may be considered forward-looking statements, which reflect management’s best judgment based on currently available information. I refer specifically to the discussion of our expectations and beliefs regarding our pipeline and funnel of potential future business. Our actual results may differ materially from those projected in these forward-looking statements. Certain material factors or assumptions also apply to drawing the conclusion or making the forecast or projection as reflected in such forward-looking information. I direct your attention to the risk factors contained in the Annual Report on Form 20F filed by Allot with the U.S. Securities and Exchange Commission and those referenced in today’s press release, both of which detail factors which could cause our actual results to be materially different from those projected in the forward-looking statements. With that, I would now like to turn the call over to Andrei.
Andrei Elefant: Thank you, Rami, and thank you all for joining us today. In today’s call, I will highlight Allot’s results and share with you some of Allot’s achievements. Then I will hand over the call to our CFO, Shmuel Arvatz, for a short review of our financial performance for the quarter. During the quarter, we continued to execute on our growth strategy. We have won a number of new large and strategic customers. We made significant inroads into the security market and in our legacy business, we are working closely with our customers to provide solutions in line with their CapEx challenges. Second quarter results came in at $21.6 million in line with our preannouncement. You’ll recall that a net loss for the second quarter of $3 million or $0.09 per share [Technical Difficulty]. This increase is due to the low bookings in Q1, which reflect a longer sales cycle we are seeing in our legacy sector. While we are disappointed with our revenues, we are adjusting ourselves to the new markets reality for longer sales cycle. According to our strategic plan, we expanded our customer base with new strategic accounts, which we provide constant flow of revenue. Even in [indiscernible], bookings from new customers was well above our average. During the quarter, we won five new tier-1 operators of which three are mobile operated. One of these mobile operators selected Allot Service Gateway Tera and our ClearSee solution for its new HP network. This network targets tens of millions of subscribers. The customer has already pledged a multimillion-dollar follow-on order at the beginning of Q3. We see this order as a validation to our strategy of increasing our installed base, creating greater stability in revenue. Another new customer, this one a fixed line operator purchased 100GE solution, which was delivered during the quarter. Moving into 100GE network is a tend we see with many fixed line operators [indiscernible], and we expect to see additional benefits from this trend going forward. Large deals reached 21 in total, none of which represent new customers; 15 came from mobile operators, five from fixed line service providers and one from cloud operator. The mobile sector continues to be our main focus and we are pleased with the flow of large orders from this vertical. During Q2, we received an expansion order from our tier-1 operator in North America. This security deal is in early stage and we expect additional orders on this generating greater revenues from this customer during 2016. We intend to extend our footprint in North America leveraging our security product offering, which as opposed to our legacy offering is not subject to any regulatory constraint. We continue to maintain our control of OpEx. As part of our overall strategy, we increased our focus and shifted our resources to the fastest growth area such as security and monetization, thereby improving efficiency. These actions helps maintain a flat OpEx while integrating the Optenet team. Going forward, we will continue to carefully monitor our OpEx and operating efficiencies. During Q2, we continued to grow our value-added services. VAS represented 43% of overall bookings up from 38% in Q1 and 31% for the entire 2014. [Indiscernible], our VAS category is divided into four groups; security, monetization, analytics and optimization. In Q2, we substituted monetization accounting for 68% of VAS booking. Interconnected trends we have seen in the market validates our plan to capitalize on the growing demand for these services. We continue to see VAS as our main business driver in the coming years and more specifically security and monetization category. Service providers use our security offering to increase their ARPU and improve customer variably, significantly increasing the value of their brand. They offered their subscribers value-added security services such as anti-malware, anti-spam and parental control. Let me give you an example. One of our security customers, a tier-1 mobile operator with more than 20 million subscribers began purchasing another security service two years ago. Today, they provide security services to over 5 million end users. They charge each end user an average of $1 per month with a total of incremental annual revenue of about $50 million. Our security offering is [Technical Difficulty] to our customers because the benefit goes directly into the top line. Another area where we made progress is on the NFV front, which we just recently announced. We have been working closely with HP OpenNFV demonstrating security services in a challenging [ph] environment. We intend to continue developing innovative NFV relationship and expect to start seeing meaningful revenue later in '16. We will continue to focus on the mobile vertical, and we believe this is the fastest growing vertical in our market. Our leadership position in the fast-growing vertical was recently validated in May 2015 by [indiscernible] when they recognized Allot as the mobile market share leader. Finally, validating the confidence in our future growth, our Board of Directors has approved the issuance of a share buyback plan of up to $50 million. This plan is subject to their authorization of the interim report, which is expected during the fourth quarter of 2015. Before summarizing, I will turn the call over to Shmuel Arvatz for a review of our financial results.
Shmuel Arvatz: Thank you, Andrei. Before I begin reviewing the financial results for this quarter, I would like to inform everyone that on this call, unless otherwise noted, I would refer entirely to the non-GAAP financial measures when discussing operational results. Non-GAAP financial measures differ in certain respects from the generally accepted accounting principles and exclude share-based compensation expenses, revenue adjustment due to acquisitions, expenses related to M&A activity, restructuring costs and amortization of certain intangible assets. Turning to our second quarter results. Revenue for the quarter was $21.6 million, down 23% year-over-year and down 27% sequentially. This is in line with the preannouncement of last month. As a percentage of revenue, revenues in the Americas accounted for 21%, EMEA 59% and Asia Pacific 20%. Product revenue for the quarter accounted for 56% of revenues, while service revenues were 44% compared to 66% and 34% split during the second quarter of 2014. Book-to-bill ratio in the quarter was above one. During the quarter, we booked six seven-digit deals. Booking gross margin for the quarter was 74% of revenue compared to 73% in the second quarter of 2014, up 1%. Gross margin may fluctuate on the quarterly basis, however, this result is in line with our typical range of 74% to 75%. Operating expenses for the quarter were $18.9 million, up $100,000 compared to the same quarter last year and down about $500,000 sequentially. The sequential reduction in operating expenses was mostly due to the lower sales and marketing expenses and as a result of lower revenue and the related variable costs such as commissions. In addition, during the quarter we undertook some efficiency measures in order to align operating expenses with the revenue level. It is notable that in the second quarter, we fully consolidated Optenet’s results for the first time and therefore increasing our operating expenses base. Our headcount, including Optenet, was 529 employees at the end of the second quarter, same as the end of the first quarter of 2015 and up 67 employees from the end of 2014. The increase compared to last year was mostly due to the Optenet acquisition. Operating results for the quarter was negatively impacted by the currency changes, mostly due to the depreciation of the euro and the Israeli shekel against the U.S. dollar. On constant currencies, as prevailed in the second quarter of last year, revenue were negatively impacted by about $2.2 million and expenses, both COGS and operating expenses were positively impacted by about $900,000. So the year-over-year net effect on our operating results was about $1.3 million negative. Net loss for the quarter was $3 million or $0.09 per diluted share compared to net profit of $1.9 million or $0.06 per diluted share in the same quarter last year. Turning to the balance sheet, our cash reserves comprised of cash, cash equivalents and investments, totaled $120.6 million, down $3.2 million compared to the previous quarter. During the quarter, we recorded negative operating cash flow of $2.3 million. DSO was 104 days, up from 72 days in the previous quarter. The increase was mostly due to the reduction in the quarterly revenue, and we expect to return to a normal range of 75 to 90 days in the next quarter. To conclude, while the second quarter results came in below our plan and expectations, we are encouraged by the progress we made in the security segment as well as winning new accounts and expect this win to continue to our top line in the second half of 2015 and in 2016. With that, I will turn the call to Andrei.
Andrei Elefant: Thank you, Shmuel. To summarize, during Q2 bookings have picked up. We significantly increased our customer base according to our plan. We’ve seen a combination of our security solutions with our quality control and [indiscernible] in driving future growth and our security offering is gaining momentum, and as I said, we expect it to become a more meaningful part of our business in 2016. With that, I will open the call for a Q&A session. Operator?
Operator: Thank you. [Operator Instructions]. We will take our first question from James Kisner with Jefferies. Please go ahead.
Jason North: Hi. This is Jason North for James. First question here for OpEx. When you referred to it being flat, was that referring to the fact that it was pretty close to flat sequentially in Q2 or is that the expectation going forward for Q3?
Shmuel Arvatz: When we mean flat, we look at the last quarter in Q2 of 2014, we were flat compared to that quarter, while we took in Optenet during the second quarter this year. So this is what we mean flat when we say it was flat earlier.
Jason North: Okay. Do you have anything, commentary on go-forward OpEx, what we could expect?
Andrei Elefant: Yes, we’re saying that the OpEx is dependent on top line level, revenue mix which carry also variable expenses in the selling and marketing and of course which can fluctuate from quarter-to-quarter. I would say as I said in the previous call that we expect on revenues of about $26 million and we’ve seen the typical growth margin we expect a breakeven point from – an operational breakeven point.
Shmuel Arvatz: James, I would like to add to that that what we are doing is constantly optimizing our investment in the areas where we see the growth coming from. Specifically, we took some measures to invest more in the securities and monetization space versus the more traditional or legacy areas like optimization where we had investments in the past. And we will continue to monitor very closely our expenses in a way that we will optimize the investments that we are doing today, areas that we see that the growth is coming from. So while doing that over the last year, we succeeded to increase the investment on the security side while keeping the OpEx level in general a little flat.
Jason North: Great, thank you. And the gross margins were within the range of the targets in Q2 but down sequentially. Any kind of commentary on what we would expect on that going forward.
Andrei Elefant: Yes, in previous quarter the revenue mix was favorable and therefore we gained one additional percent. However, we continue to say that the typical range is 74, 75. It may be higher than that in a specific quarter due to some more profitable deals or higher content of software in the revenue mix, but we still say 74, 75 in terms of expectations and they are internal planning.
Jason North: Okay. Then for the buyback that’s a shift in strategy, if you could just reflect on what that means for your acquisition strategy?
Andrei Elefant: I think that we have $120 million in cash and the 50 million is relatively a small portion. We think it’s a good use of the company reserve right now compared to the alternative and also with regard to the current market price. It will allow us first of all to use the cash properly and we continue to look for M&A opportunities. So we have both options available to us right now.
Jason North: Okay. And one final quick one, housekeeping. What was the percent of value-added service bookings in the quarter?
Shmuel Arvatz: Value-added services accounted for 43% of total bookings.
Jason North: All right. Thank you very much.
Andrei Elefant: Thank you. Have a good day.
Operator: Thank you. Our next question comes from Joseph Wolf with Barclays. Please go ahead.
Joseph Wolf: Hi. Thank you. Along that line in terms of the bookings, could you give us an indication of the length that your bookings stay in backlog these days, has it extended from three quarters to four quarters, is it faster than that so you’re doing book business in the quarter, so it doesn’t even go into the backlog. Just given the mix in the business, can we get a better sense of how we can track that?
Andrei Elefant: Okay. In general, while I would say there is a big difference between the new customers and the existing customers, new customers typically when they place a large – I am talking about the large orders or large projects. When they place the first order, it will add to a full scale deployment that we need to do in their network. And this process can take between two to three quarters. With existing customers, it’s typically either expansions of existing deployment or just by together [ph] on the value-added services. And on both projects, it’s either happening within the quarter or in a shorter timeframe just because the projects are typically simpler and faster. And so there is big barriers between existing customers and new customers. In this quarter specifically, we had a significant portion of our bookings come from new customers --
Joseph Wolf: Hello?
Andrei Elefant: …however in terms of turning that into revenues, it takes us longer than with the existing customers.
Joseph Wolf: Okay. I think I may have cut out, but I think I got most of that answer. With the AT&T, DirecTV may usher in a new kind of delivery and bundling in the U.S. and may increase the take rate of bundles in the U.S., at least to credit [ph] telco analysts. How is Allot seeing that as an opportunity? Is there new opportunity now given new packages being offered to content anywhere, is that an opportunity that has nothing to do with the old opportunities that you saw or perhaps had regulatory issues with?
Andrei Elefant: I think specifically for North America, the main strategy that we had is to focus on our security services. We already had a very nice start with that winning tier-1 operator and we’re making progress with another one. So we would focus more on delivering security services where the regulatory aspects does not exist and specific – opportunistic opportunities that we might have like in analytics or in other areas, we’ll of course explore but this strategy we will focus on their security services.
Joseph Wolf: Okay. I guess that was my last question. You gave us some metrics about the tier-1 mobile carrier with 20 million subs you’ve been selling to for two years and they’ve given an offer to 5 million. Is that some sort of take rate we can use as a figure of merit? How are they selling that? So they pay you upfront and then they sell out licenses or is there revenue – is your revenue contingent on the take rate of their customers?
Andrei Elefant: With this specific customer, they bought upfront their licenses and they bought it in [indiscernible]. However, we are moving now to a different model where we will charge annual licenses for this service rather than fixed licenses for this service. And what we gain from this increase in the take rate on top of the licenses is expansions in professional services that the company projects and it’s part of the growth in the take rate. The take rate, really going back to your question about the take rate, it really depends on the customer’s strategy on how he wants to rollout this service. In some cases, they use an [indiscernible] method, in some cases they use an [indiscernible] method. Sometimes they bundle it with other services. So we are working both from that front with our customers on how to market it in the best way, because what we experienced with those customers that we already have one or two years of experience is that it can create significant incremental revenues for them. And this is why they find this service very interesting for them.
Joseph Wolf: Are you considering parental control and DDoS both types of security when you say security?
Andrei Elefant: Yes. I put these two services as part of the security group. However, the service that we see the most is the anti-malware or web security services in general, what I would call it [indiscernible]. And sometimes the parental control is just another feature or is just another capability as part of that package that they are getting.
Joseph Wolf: Understood. Okay. Thank you very much.
Andrei Elefant: Thank you, Joseph.
Operator: Our next question comes from Matt Robison with Wunderlich. Please go ahead.
Matt Robison: Hi. Thanks for taking my question. I noticed in your commentary, your prepared commentary, you referred to legacy. It might be the first time you’ve actually used that term for the business. And I was wondering if you can first comment a little bit on the bookings – on a year-over-year comparison, if you look back to the second quarter of '14 and look at the mix of what I tend to call platform technology, which is a gateway business versus a value-added service business, how that’s changed? And when you talk about legacy, is that how we refer to gateways now. And also comment on how your pipeline looks in terms of gateway business versus value-added services. And lastly, for Shmuel, if you could give us a little bit of color on what your cash consumption budget is for this year, obviously before buyback?
Andrei Elefant: Okay, so let’s start with what we call legacy. When I mean legacy, I refer mainly to the optimization part of our business. So we can include the platform for those types of projects. However, sometimes we do sell our platform for the security services as well. So I refer mainly to the fact that if in the past, part of our business was about bandwidth management, traffic management and optimization. That part I would consider as legacy. We still see these projects come from the new customers, even came from this category. However, as a trend we see that there is a shift more in services around security and monetization. If I compare this quarter to Q2 in 2014, I would say that it’s very noticeable to see that the percentage of our VAS significantly increase. So we see 43% of our VAS coming in, in this quarter versus 26% that we had last year. And as we expected, we continue to see a trend that the value-added services are growing, so this is very encouraging for us. It’s part of our plan.
Matt Robison: Were the bookings in the second quarter of 2015 as large as they were in the second quarter of 2014?
Andrei Elefant: There were not in the same size but this trend of value-added services wouldn’t have significantly changed even if they were in the same number.
Matt Robison: So is that a way of saying that even though the denominator was bigger in terms of the percentage for VAS that you booked more dollar value in VAS this year than last year?
Andrei Elefant: Yes, definitely.
Matt Robison: Okay.
Shmuel Arvatz: Matt, regarding the use of cash, we’re seeing the guidance that we provided for the year, the revenue guidance, I expect breakeven or positive cash flow in the second half of the year. And therefore, the buyback program is very solid and as we believe serves shareholders’ value and it’s a good use of cash right now.
Matt Robison: Is that really kind of criteria for the court that you’ve got to have positive cash flow in order to have a buyback?
Shmuel Arvatz: No. Right now, the Board approved $50 million based on the cash we have right now, cash on investment and the forecast and the fact that we don’t have an outstanding financial debt, and based on the outlook for the coming quarter. Thereafter, we will analyze the situation and we’ll take it from there.
Matt Robison: Thank you for taking the questions.
Andrei Elefant: Thanks, Matt.
Operator: Our next question comes from Alex Henderson with Needham. Please go ahead.
Alex Henderson: Thanks. Just on the buyback since you were just talking about it, is there any impact on the tax rate given the Israeli tax laws when you execute a buyback? I’m pretty sure that there isn’t, but I just want to check.
Shmuel Arvatz: For Allot, there isn’t. It may impact companies that utilizes some of the enterprise tax regime. We are not in this position. So for us, it will be a capital reduction not using – withstanding the profit and therefore we need also court approval. This will be [indiscernible]. I don’t anticipate a deteriorating tax position in this case.
Alex Henderson: Second question then, a pretty quick one, I didn’t catch whether there was any 10% customers in the quarter?
Andrei Elefant: We had six seven-digit deals. In terms of 10% customers, we had one 10% customers in terms of revenue.
Alex Henderson: Right. And is it reasonable to say that securities on a quarterly basis or for the full year is still less than 5% of revenues at this juncture, and while it’s expected to ramp it’s fairly small. And ballpark the right size of the basket there?
Andrei Elefant: I think it’s much more than that. It’s above 5%. However, you need to remember that it’s part of the – when we talk about the value-added services, we refer mainly to the licenses of the securities. We have many projects where on top of the security licenses, we sold our subscriber management licenses because they were needed in order to deliver this service. We sold our seven gateway platform because that was needed as part of the solution rollout. So if you accumulate all the different elements, it’s significantly more than 5%. A big part of our business is driven by these security services. Again, going back to what I stated also at the call that summarized 2014, we had during 2014 close to 40% of value-added services coming from security services. And as I mentioned also back then, when we look at the value-added services, we in fact look at the drivers of our business. And all those elements later on rolled down into the other categories, like the platforms that we are selling, professional services that we are selling and additional services that we selling. All that is driven by the value-added services. And when we mean that we see that a big part of our business is coming from security and professional services, it means that these are the main used cases and the customers want to deploy when they buy our solutions and our services. I hope it’s cleared the picture.
Alex Henderson: Yes, that helps. Thank you. The second question, the gross margin question asked earlier, you mentioned mix. It looks like the mix was pretty heavily skewed to service relative to normal. Is the service margin helping or dragging down that gross margin percentage?
Shmuel Arvatz: The service margin basically they are in this quarter specifically – first of all, regarding the mix, the revenue mix was more towards – in favor of the services due to the fact that the shortfall in revenues in the quarter was mostly in product. Generally speaking, the low revenue put pressure on the gross margin due to some fixed expenses that we have. So overall, the 74% shows relatively good mix of business in the quarter that was offset by low revenue and a higher portion of fixed expenses.
Alex Henderson: I heard all of that in the first answer. My question is, is service margins above or below corporate average?
Shmuel Arvatz: It’s above the average.
Alex Henderson: Thank you. That’s helpful. On a technology question, we’re seeing a very sharp increase in the percentage of WAN traffic that is shifting to Secure Sockets Layer and I was wondering if you could talk about the implications of that. If we go from 25%, 30% of WAN traffic Secure Sockets Layer today to two-thirds say two or three years from now, does that negatively impact the optimization business, does it negatively impact your ability to do some of the anti-malware, anti-spam and parental control if you can’t see what’s inside the traffic, because it’s a secure socket layer. How do we think about the implications of that?
Andrei Elefant: It’s a good question. So actually we are seeing in some countries a very fast pickup of the encrypted Web traffic, mainly I would say in the developed countries. And actually in these countries, we see more demand for security services and professional services, which are not impacted by this trend. We are rolling out these type of services in developed countries and we can deliver, and sometimes it goes along with the trend of using more and more encrypted traffic. In some of the used cases that related mainly to optimization, encrypted can decrease the value of the solution. And as I mentioned, we are seeing in general a trend that we are seeing less demand for that aspect not only because of encryption, it’s also for other reasons. However, you’re right that there are some used cases on the optimization side that cannot be delivered in the encrypted environment. Again, however, from our point of view where we see the growth in the future is from used cases that are not impacted by this trend, and they even go along together very well with this trend.
Alex Henderson: I guess I’m not sure I understand the mechanics of that. Maybe we can do that offline, but how do you provide anti-spam, for instance, or anti-malware if you can’t see inside the packet or inside the traffic flow to know what it is. I don’t understand how that works. Could you give us a brief explanation of how you are able to do that? I assume you’re not getting the key from the subscriber to unlock the SSL.
Andrei Elefant: For some services, we can get the approval from the end user to open it to provide the security services. However, we can identify the open traffic without any problem. And on top of that for the encrypted traffic, we know from which domain it came from and we have other methods to identify whether this is coming from a valued location or not. It depends on the definition and how you want to customize the product. But again, this service is being rolled out in many countries and we have ways to walk together with this encryption trend.
Alex Henderson: Okay, that’s helpful. Thank you.
Operator: Thank you. [Operator Instructions]. We’ll take our next question from Catharine Trebnick with Dougherty. Please go ahead. Catharine Trebnick, your line is open. Please go ahead.
Catharine Trebnick: Good afternoon. Thank you for taking my call. I wanted to know about the NFV in your opening remarks, you talked about your relationship with HP. Do you have any other relationships brewing? And then where do you think the carriers are in this implementation? And then do you think the way the carriers are looking at this, is it probably impacted your revenue from your product side at all? Thanks.
Andrei Elefant: Thank you, Catharine. So NFV – first of all, NFV is a very good trend for us and we expect and we would like operators to adopt this as quickly as possible, as it reduces some of the barriers to enter for us and mainly when we are competing against the bigger player in the market. We cooperated in this case with HP. We have other cooperation with some other players in the market and some of them appear also in our Web site. And we believe that part of NFV is to do these interoperability tests and demonstration of the technology with key players in the market in order to help operators understand what they can do with this technology. We will continue to do that and cooperate with different players in the market, also with HP on different fronts and continue to show them different innovative services that you can run in this environment. In terms of adoption of NFV, what we are seeing today is mainly a tried and interoperability test and last trials that are being done by many operators. We expect that some of the operators will start running out this type of networks probably in the second half of next year. And I know that there are some operators that might start earlier, but I’m talking about the bigger part of operators with meaningful rollout, I expect to see that in the second half of 2016. In terms of sales, we are prepared ourselves to this environment. And as you saw earlier, we focus more and more on the services that we are delivering and many of these services can run in any environment, including NFV environment not necessarily on our platform. We also moved the entire software that we had on our platform and enable it to run in an NFV environment, so you can actually deploy a service gateway with all the services in an NFV environment. This will eventually move ourselves into more software sales compared to what we have today. We encourage that and we will be happy together. I think the transition will be a slow one. It won’t happen overnight. We’ll start to see it in the second half of next year. And it will take a few years until this transition will fully happen.
Catharine Trebnick: Thank you. And then, Shmuel, this one is for you. I might have missed – what was the expectation on breakeven?
Shmuel Arvatz: About $26 million taking into account typical gross margin, typical revenue mix with average commission and other variable expenses.
Catharine Trebnick: All right, thank you. Thanks.
Andrei Elefant: Thank you.
Shmuel Arvatz: Thank you, Catharine.
Operator: Thank you. There’s no more questions at this time. That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.